Howard Andrew Digby: Good evening, everyone, and welcome to Elsight's presentation of our financial results for the third quarter of 2025. My name is Howard Digby, a Non-Executive Director at Elsight based here in Australia, and I'll be your host for today's session. Following the presentation by our CEO, Yoav Amitai, we will open the floor for a Q&A session, where Yoav and the leadership team will address your questions. Before we begin, I would like to remind you that today's presentation may include forward-looking statements. These statements are based on our current expectations, assumptions and projections and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a detailed discussion of the risks and uncertainties associated with our business, please refer to the most recent financial reports and disclosures available on our website. Please also note that we undertake no obligation to publicly update any forward-looking statements unless required by law. As we go through the presentation, all figures are in U.S. dollars unless indicated otherwise. And our financial year is the calendar year, and we're discussing what has just been the third quarter. We encourage you to submit your questions at any time during the presentation by clicking on the Q&A button at the bottom of your screen. We will address as many as time permits at the end of the session. Now without further ado, I'll hand it over to our CEO, Yoav Amitai, to begin today's presentation. Over to you, Yoav.
Yoav Amitai: Thank you, Howard, and thank you, everyone, for being with us in today's investor presentation. It's another exciting quarter for the company, and I'm really happy to be here and to share with the audience what we have to say and how we see the past performance and more importantly, the future outlook of how we see the business and what is the opportunity we have in front of us. I think it's a super interesting point in time for the company, for our employees, for our shareholders to be part of our journey. And I'm really happy to be here today and to share with you all what we have achieved and what we're looking forward to do in the coming months and quarters that we have ahead of us. Starting at a high level, for those of you who are new to the story, just to take -- very briefly about who is Elsight and what we do. So Elsight is coming from communication background. That's what we have done all of the years. And something like 5 years ago, we focused the business to be solely for uncrewed system, which include aerial vehicle, aka drones, ground vehicles, maritime robotics sometimes and so on. Basically, we're going after the market that moving systems without operator, human operator in the field that needs to have reliable communication. After doing a lot of market research and exploring the different market sectors, we chose this market to be our focus at the moment. And we'll talk about it later, but I think that having our super reliable communication device or solution that can help us go into many other directions, and we'll discuss it later in the presentation. I'll just leave you with that for now. In general, once we chose that we're going after the uncrewed systems, that presented us with a super interesting opportunity started in commercial market, doing a lot there from drone deliveries to inspection to agriculture, health care services, first responders and so on and so forth. Something like 2.5 years ago, we also started to have an increased exposure for the defense market. And today, we're playing in both the defense and the commercial market. And one of the nice thing about our product is it kind of one size fits all. We are using the same device, the same sets of features basically for both ground vehicle and aerial vehicle for both defense market and commercial market. And every feature or every capability that we are developing goes to all different kind of customers that we have, which makes it very, very interesting opportunity for us to continue and develop and to approach 2 different markets, very different markets, but to approach them with the same sets of features and capabilities. Looking on a high level about what we achieved this year, I think we're continuing to show the growth of the revenue and signing more contracts over the last -- over the third quarter, the third calendar quarter, like how I would say -- said. I think it's shown a very strong value proposition or product market fit within the market we're going after and also show how important and how good is our technology on the different use cases that are currently using our systems and our products, and that's what we wanted to achieve. When we were -- wanted to focus the business, it was about that. And now probably it started to be the right time for us to broaden that and to start to look into adjacent direction or parallel direction that will be on top of the very big opportunity that we have ahead of us. One super exciting point that we were happy to announce to the market in the last quarterly a couple of days ago was that the company become profitable. Like we estimated in the second -- in the first half of the year in the previous quarterly, we estimated that we're going to become profitable. And I'm happy to say that this quarter, we moved over the breakeven point into profit and profitable company. I would say as a side note or as a general note that while we are focusing on the top line and continue the growth because of the opportunity we have ahead of us, we're still talking about super high gross margin business that can create high profit margins, and that's a result of the uniqueness of the technology, the strength of the technology and our position against other players in the market that are offering different kind of solutions. That's all behind us in terms of what we already achieved. And looking forward, we'll stretch the pipeline of more than -- or $157 million of pipeline of tangible opportunities, not just addressable market, but actual opportunities that we have different levels of connection with. We'll go -- we'll touch about that during the presentation. Production capacity and our operational capacity in general and how resilient is our production line, that will be another point in the presentation. And speaking a little bit about how we are making it more or more profitable and enhancing the business model or make the business model better as we scale and as we deploy more and more units into the field. But starting with the numbers from beginning, comparing to last years that we had, so you can see that the massive jump or the massive growth that we had in the revenue due to the industry tailwind and due to the execution that we're doing as a company. It also plays into the operation cash flow and where we are positioned in terms of the cash flow of the business and same for the cash receipts from customers. So we are seeing how we are building cash position basically and making this a positive cash flow business and also profitable business, which allows us to do more and to execute better and to press the pedal to the metal being more aggressive in our go-to-marketing and sales and new initiative development that we're doing in different directions. I think another interesting element or trend that we added to the -- to our presentation this quarter is how we are beating the records quarter-over-quarter in the last 3 quarters. The reason we mentioned 3 quarters because those were all-time high quarters in Elsight, and you can see how we are growing that. And looking into the future, we also see how we continue this trend and how we can continue to take those numbers higher on a quarterly basis, which that's connected to the point that I made before about having this -- or being focused on growing the top line of the company while enjoying, let's call it, the bottom line of having high profits and positive cash flow as a business in general. So that was to give you a very wide perspective about where we're at. Now starting to deep dive into why it's happening, why us and why now, starting from the macro picture of what is currently going on in the market. And starting from the defense market, I also stated in our previous presentation, looking on the different trends that we're currently seeing in the market. So what you see here, the chart shows the expense of governments -- the NATO governments on defense over the years. The light blue is what was the actual expense in 2014. The dark blue is what was -- what is the estimated expense or investment, I should say, in 2024. And this red dash line that you see on the top -- that's the NATO country's commitment to increase their defense budgets from 2.2% to 5% until 2032 or 2035 depending on the country. Now there are 2 main trends that we're seeing, and that's not only in NATO country. We see it across the board in many different governments. One is the amount of capital or the amount of the budgets that are currently allocated to defense and the growth of those budgets of governments that are understood that they need to have their own industrial base. They need to have their own supply chain, and they are starting to build these capacities and getting ready for something that might happen in the future or something that is already in the present. The second interesting trend that we're seeing is how much of those budgets are allocated into uncrewed system, which is exactly our market. So that's another interesting trend that -- we're seeing it all over the world. Just to give you an example that I read, it's not even here in the presentation. I just read it after we released the quarterly about Greece. Greece is a country that I personally never have any title about what is their defense investment in general. And just last Sunday, I read that Greece had said that they're going to do 1,000 drones per month in the next couple of years to build their own capacity, and that's Greece. Now that's just an example of something that I literally just read a couple of days ago, and that plays across the board, like I said, seeing what is the position that those kind of systems are taking in the modern warfare, and that's in the defense market. Looking on the commercial market, we also see a lot of advancement happening in the commercial market. And I think the best example of -- since the last quarter presentation is the FAA, the American aviation -- Civil Aviation Agency that released what they call Part 108. Part 108 stands for the new legislation or the new framework, let's call it, for BVLOS, Beyond Visual Line of Sight application or how drone service provider or drone users can now do Beyond Visual Line of Sight application with their drones. And it doesn't matter if we're talking about last middle mile logistics for drone deliveries or inspection, like I said before, or agriculture or drone as a first responder or you name it. It's not fully legislated yet, but there is a framework. And today, unlike a couple of months -- just a couple of months ago, service providers know what are the boxes they need to tick and what is the process they need to follow. And we do expect or the industry in general, not only us, expect that will be a strong catalyst for the market to start and do more and more commercial deployments and more and more commercial application. I would say that over the last quarter, we also saw that a lot of our commercial customers are starting to ramp up their production. It's still not in a high -- multimillion dollars contract. It's in the hundreds of thousands of dollars, but we really see how it's getting there. A good example of it will be Flock Safety company in the U.S. doing drone as a first responder, also called DFR. Basically, what they do, they put in drone and rooftops across cities in the U.S. and providing police services as a service basically for local police department and being able to provide them with real-time situational awareness. They just launched their new drone last week in a big conference, Chief of Police conference in the U.S. And the Halo is a big part of the -- of this new drone of this program of how we can control those drones for long distances and doing BVLOS, Beyond Visual Line of Sight missions. So that should give you -- that just to give you examples from the tailwinds that we are seeing or the trends that we're seeing in the market, both in the commercial and the defense market and what we're doing there. And I think that create kind of a perfect storm for us of having the experience in both markets, having a lot of ad hoc features that are specifically developed for those kind of customers and having the market reach or the brand name within this market to be able to play a very interesting role within this industry next growth stage. And I think we also see it in our own numbers of pipeline opportunities of actual revenues of actual contract -- new contract that has been signed that are not yet being delivered. I think all of these are factual truth basically to show where we're at and how the future will look like. For those of you, again, who are not familiar with what we actually do, so Elsight started, like I said, as a communication solution, providing highly reliable wireless communication solution. And the challenge is with all those systems, whether they are in the air, on the ground or overseas, how a remote operator or a control center can control all those different platforms and assets that are traveling around the globe. And that's basically what we are solving. Now there are a lot of different communication solutions. All of you are probably familiar with them. There are the satellite solutions. There are the radio frequency kind of point-to-point, like the old RC remote control devices that we used to have as children's maybe, some of us at least, private and public cellular networks that are part of the global infrastructure available. Our approach is that these infrastructures are great. None of them provide the ultimate solution of what those systems require in terms of mission continuity and communication resiliency. So on the bottom line, what we are providing is what we call connection confidence. We're not talking with the customers about communication. We're talking with the customers about mission completion because if they lose communication, and it doesn't matter what the mission that those drones and robots need to perform, that will be a game over for many of them. And we are assuring that the mission will be able to complete and rather it's to deliver diapers for someone backyard via drone or to do an inspection for a power line or to do ISR mission or logistics mission in front lines or any other mission. Those are examples of how we enable those platforms to complete their missions basically. And being able to change or we are seeing in many cases, how we changed the whole concept of operation of our customers and how it's completely changed their end users' approach of how they can utilize those systems. So taking on one hand, the market opportunity or the trends that we're seeing in the market, like I just said 2 slides ago, with our strengths and experience and more than 450,000 flight and drive hours of experience that we currently have, taking all of these together with our technology, I think that just showed the perfect storm that we're in the middle of it, and that's self-explanatory for those of you who are reading news and seeing what is the place that those kind of platforms are currently taking in the front stage. And I truly believe based on the reaction, the feedback, the traction that we have coming from customers and prospects, I truly believe that Elsight is in a super interesting spot to take over this opportunity and to become a meaningful player within this environment or within this ecosystem. Talking a little bit about our business model and gross margins. Like I said, we're talking about highly profitable business model. So first of all, just to explain to, again, those of you who are not familiar with our product, we're talking about hardware-software combination. I always said to all people, customers and investors the same that we are -- Elsight is a software company that happens to have hardware. We do have our own hardware. You won't be able to find this hardware manufactured by anyone else. But our core IP, our secret sauce is in the software and not in the hardware, but still we're part of our -- it's still part of our solution. It's a feature. It's not a bank that we have in hardware. And today, we are enjoying the fact that we have it. It's also helped with the stickiness of the product. So the business model works the following. First of all, we have the unit sales, the onetime unit sales that we're selling for a couple of thousands of dollars per unit. So every drone is equipped with either one or more systems depends on the level of redundancy that the customer needs on the drone. Just to give you again a ballpark, on the hardware side, we're today doing around an average of 80% gross margin on our revenue that we are bringing from there. So we have $0.80 from every dollar we're selling remaining as profits basically on the hardware part, which is exceptionally high if you compare it to any other hardware solution. And I think it also shows where we're at in terms of competition and in terms of us being ahead of the game basically. The second element, which is also mandatory inherent part of the solution is what we call the AllSight cloud. So every unit that's being deployed in the field needs to be connected to this AllSight cloud. For government use and it doesn't matter if it's defense and homeland security, those data centers will be on the customers' premises. For commercial use, many of them are utilizing our own survey infrastructure, all of them paying the same fee of between 10% to 20% of every sale is going to the recurrent revenue per annum. So as long as those customers would like to use their systems, their robots, their drones, the whatever they are using, they will have to pay this recurring fee. And again, going to gross margins, you can see that here, we're talking about 82% gross margin. Just to explain why it's as far as my concern, relatively low margin for a software solution or for a software product. The reason being is because we build an infrastructure that can support a lot of units. And as we scale and as we add more and more units, those gross margins are going higher. We started the year on Q1, if you look on the presentation we released that was 51% gross margin. And today, we're in the end of Q3, we're already in 82% gross margin. The reason is because we are deploying more and more system on the same cost base, so the margins are going higher, and that's part of how we leverage our software capabilities and the fact that a lot of our value proposition sits within the software. On top of that, like I said before, we are utilizing all the different networks, the satellite networks, the cellular networks, private and public. And one of the challenges or friction that we have seen with our customers is that it's very hard for many of them to provide the airtime, the SIM cards, the Telstra and Optus SIM cards or the airtime coming from the satellite provider. And today, part of what we're doing, we're also providing a one-stop shop with the airtime, with the SIM cards, with the satellite airtime. And that's kind of a resell model that we're providing a bundled solution, kind of a one invoice, one-stop shop that you had all your communication need in one invoice, and that's the value proposition or that's the user experience of what we wanted to create, and it's playing very well into our revenues -- different revenue stream of what we were having, and that's become a very interesting revenue stream. So overall, if we take the -- not the average, but if we take the number of the gross margin over all these bundles today or in the third quarter, like we put in the quarterly, we have between 78% and 80% gross margin on all these offering together, partially onetime, partially long term. And that's related to what I said before of creating super valuable solution to our customers, solving real pain that they are willing to pay for it and to pay for a premium price. And this is what you see in our gross margin, and that's where we are positioned at the moment. Talking a little bit about pipeline and what we're doing to mature this pipeline. So just a comment that I received after releasing the presentation. For those of you who don't know, in the previous presentation we put out, we had $151 million on the pipeline. And today, we -- or in this presentation, we introduced the market with $157 million. And there is one point that I think is important to notice. First of all, the bottom line here, the order book that we have last -- on the previous quarter, that was $11.5 million, and now it's $10.2 million. But we -- as you all know, we announced in the quarterly that we have done $8.7 million in revenue in the third quarter. It means that not only that we converted part of the pipeline into actual sales, we also add on the top of the funnel or the top of the pipeline, more opportunities. So the difference is not only this $6 million difference, it's also baked into it all the different opportunities that was already converted into actual revenue, and that's how we are accelerating or that's how we are converting pipeline into revenue. I think another important point to mention, and I get that feedback after releasing this presentation is that this pipeline is -- I don't want to say conservative, but I would say that this pipeline represent tangible opportunities of people or companies more accurately that we have connection with. It's not all the news that we see online and we collect them into pipeline. Those are real tangible opportunities that we are seeing how we can mature those in the next 18 to 24 months like we put in the presentation. And that's super important because it's not just wishful thinking, it's more of a tangible opportunities, while the lower end of the pipeline is with existing customers in different stages of relationship, let's call it. And the top of the funnel, the top 2 tiers of the funnel, that represent prospects that we're currently in different stage of the sale process of maturing this pipeline into actual revenue. In the next slide, I will talk about how we accelerate both pipeline growth and pipeline conversion. But the important point that I wanted to present in front of you all is that those numbers we're seeing on a quarterly basis, how those numbers are translated into actual revenue. And there are orders that are not included even in this pipeline, and they are happening. Just to give you an example, in the third quarter, we had 2 or 3 different orders that was in the hundreds of thousands of dollars of revenue that wasn't even in the pipeline, and we didn't announce it in the market just because it's below the noise level for us today. But those orders are keep coming from return customers that are deploying more and more systems into the field. And we are -- based on our design win strategy, we are getting the POs on every new drone that they put -- those customers are putting out to the market. So that just to give you a good picture about our pipeline and how we convert it. Where we are focusing at the moment in terms of sales and marketing efforts. So like I said in my previous presentation, we're seeing the biggest opportunity in the North American, mainly U.S. market and the European market. We are recruiting people in both markets to have boots on the ground in multiple countries in Europe and multiple places in the U.S. to be closer to the industry, to be closer to the end customer with the objective of doing 2 main objectives: one, to grow the top of the funnel, the pipeline basically top line to make sure that we're continuing to bring new -- next new opportunities into this pipeline but equally important, also to help to accelerate this conversion of pipeline opportunities into actual sales and into signed contract. And again, I think that we are seeing the progress happening there in both, by the way, working with -- directly with the government and with different OEMs. The reason we're working directly with the government is because of our go-to-market strategy of being able to speak with the end users to create the demand and at the same time, speaking with the OEMs with the system integrator who will essentially provide a full system to those customers. And this is the go-to-market play of speaking with both ends of the user chain, let's call it, or the supply chain. And by that, accelerating our or the way that the market accepting us or the traction that we're getting from the market. And that's true, by the way, for both commercial and defense market, like I said, seeing all the different opportunities and all the new budgets that are now being prepared to be deployed in the field, this is what we're looking for, and we are expecting to have recruitments before the end of the year like we expected in the previous quarter. We are in a very advanced discussions or process with different candidates to become our representative or business development people on the target market. So that's where we are focusing at the moment in terms of go-to-market strategy and sales and marketing efforts. We are -- right now, as we speak, we are in the high season on conferences since beginning of September until late November before the holidays, we're literally having a almost every year -- every week, sorry, having a conference somewhere around the world, making sure that our name is out there, that people are familiar with us, that people know what is our value proposition. So we will be able to leverage into actual sales in the future -- in the present and as well as in the future. A little bit about supply chains and what we're doing there, starting from the fact that, as I said before, we are a software company that happens to have hardware. And I'm saying it with pride that our hardware is pretty simple to be manufactured. Today, we're using only contract manufacturers. We don't have our own manufacturing facility. And for us to increase the capacity is basically to go to the contract manufacturers and said, we need more, we need more capacity. And what we're doing in parallel to having our 3 different contract manufacturers that we have today, we're also broadening that and open it for more. Again, like we presented to the market in the previous quarters that we are now onboarding a new contract manufacturer that will be good for NATO countries, mainly for diversity and to reduce friction, but it will also result in -- sorry, in a higher capacity to be able to support our long-term plans or our long-term pipeline of opportunity that we will need to deliver them. So we're still expecting to have this new manufacturer that we already have the first engagement with them, and we are considering what will be the right timing to start and actually do manufacturing there. There are a lot of factors into this discussion, but that's basically where we're at in terms of updates versus the previous quarters. Assuming that some of the question will be around IP protection. And since we have here the title about the IP or the patents that we have, I want to touch about that a little bit. Starting with the obvious protection of IP of having patents. So we do have our patents. We still have a long time until those patents will be expired. So it's not anything close. But as far as my concern, patents are great, but they are not a very, very strong protection because of reasons. I think that today, the biggest moat or the deepest moat that Elsight have around our technology is, first of all, having the long experience of, like I said, more than 450,000 flight hours of enhancing our algorithm of collecting a lot of data and learning from this data, what we can do better and how we can enhance the product, which takes a lot of data from the actual deployment to learn the algorithm of how to do their work better. And also looking on how we do a lot of our features or a lot of our value proposition to our customers and basically how we can make the product sticky or as sticky as possible within their operation. And by doing that, that will block some of the competition by having what I call before design win strategy means that we would like the customers to use as many tools as possible or as many features as possible that we put out. So we will be a central part within their operation or within the way they are doing their job basically. So that's how we are protecting our current existing competitive advantage. So besides investment in sales and marketing and operation and being able to deliver in full on time with a super resilient supply chain, we are also looking forward and seeing how else we can expand our revenue, not only by providing -- by bringing in new customers or going into new regions or new sectors. We're also looking about how we are broadening our product portfolio and increasing our product reach to the same customer base or to a new customer base. A great example for that is a feature that we started to deploy with first Alpha customers over the last quarter of our patent-pending technology for positioning and navigation around non-GNSS solutions. For those of you who don't know, GNSS stands for Global Navigation Satellite System, which basically is what we know as many of us know as GPS. And today, that's as big as a problem or as a challenge like the communication solution that we feel that we have a superior solution there. We do think that with our capabilities and with our products, we can provide a very, very good and interesting solution for this non-GNSS challenge. And like I said, today, we started to have first deployment with Alpha customers just to get feedback to understand what we need to do different, what is the best -- what is the value proposition, what is the right pricing for this product. And we do expect to have sales from these products, specifically, again, as an example, during calendar year '26, and that will be another catalyst for our revenue and another product we will have around our portfolio, where we are going to our existing customers or to net new customers to convince them that that's the right path to go. So that's just an example of how we are developing our product portfolio horizontally and not very vertically to be able to offer more solution basically to our existing customer base and by that, increase the revenue per unit or the revenue per customer of what we're offering today and having a more full solution that we want to position ourselves as the tech stack provider for unmanned or uncrewed systems. And again, it doesn't matter if we're talking about on the ground, in the air or overseas. In addition to that, that's also another new initiative that I mentioned already in our previous presentation. We started to recruit the first people to this new business unit and it's still in stealth mode. I'm sorry in advance that I assume that in the next quarter, it also will remain in stealth mode just because we highly believe that we will have a very strong first-mover advantage in this market. We already recruit the head of this new business unit, Roie Gross, who joined us a month ago and start to promote this business. We're now working with the engineering team to start and build and shape and design the actual product on the technical level while we are approaching customers. We want to get as fast as possible in front of customers or design partners to be able, same as I said, in the positioning solution to start and get feedback from the real customers and understanding or sensing the willingness to pay and so on. But this is going to go after $20 billion total addressable market, which is super mature market that have different solutions today. And we believe that we can come with a new solution that will, in many ways, will disrupt this market. Just about setting expectation, I don't think that in 2026 calendar year, this product will generate millions of dollars of revenue, but I definitely expect that to start and be presented and being used by customers with the plan of starting having material sales in '27 and beyond. And I believe that if we will execute correctly, this new business unit, we will be able to -- or this business unit will might become bigger than the whole Elsight business today, and that's super promising. It's still in hypothesis, let's call it, that we need to prove to ourselves that we have the right assumptions and we can follow them. But I think we were able to prove to the market that we know how to execute, and that's another initiative that we have to execute on and to see how we take it to the market and how we get market traction and market to support us while we are building this new initiative that will generate revenue in the future. So taking the full picture or looking forward, like I said in the beginning, I think that we are currently in a super interesting point in time of having the perfect storm around us, having all the capital that we have that we need to accelerate our growth and to make sure that we can execute our plans to make sure that we keep our gross margin based on where we are in terms of other competitors or alternatives that are available in the market, seeing the opportunity that we have in front of us, both in commercial market and defense market, also looking into other kind of markets that we're currently exploring and looking to. I think that I'm saying it for many years now, but I truly think that today being part of the Elsight story is being part of a success is being part of pioneers that are pushing together this industry forward. And the opportunity is just huge. I truly believe that the opportunity in front of us is much bigger than what we had in the past. With that, I will hand it over back to Howard, and we'll open the floor for any questions you might have.
Howard Andrew Digby: Thank you, Yoav. [Operator Instructions]. Yoav, if I might start, we've had a lot of questions asking what are your competitors?
Yoav Amitai: So like I said during the presentation, our competitors, we're looking on many of them not as direct competitors, but as, I'll call it, alternatives or providers that provide different kind of solutions that are sometimes complementary to ours. I think that if we will look on the point-to-point radio frequency, point-to-point RF solution or on the satellite solution, on the cellular solution, that might be considered as a competitor, but I don't think that if you will ask those companies and looking at it from our perspective, we also don't see them as a competition. I would say that today, our bigger challenge than competition is market education and making sure that we are educating the market basically with how solution like ours can disrupt or can change the old concept of operation. So while all of these different kind of technologies are alternatives because in the end of the day, the system engineer or the software -- the system people that needs to build the system, if they have to choose between different alternatives. So that's kind of -- this is kind of competition. But it's not a direct competition in the means that today, we're not aware for someone who have TRL 9. It means production level technology like ours that offer the same value that offer the same capabilities. And today, like I said, we're not aware of anyone or any company that offer it in the market. We do see some companies starting to talk about it in their marketing material, which for me, it's a good sign. It means that the education or the needs in the market is growing. And I will also mention or add that some of those new companies that are talking about those kind of solutions are talking with us to be their engine under the hood. So in terms of competition, we are feeling very comfortable, and we have a long -- we're ahead of the game in terms of where we're at and where the maturity of technology is, and we're feeling very comfortable in this position.
Howard Andrew Digby: Another question I have -- you kind of answered this in terms of the margins and the business model, but the question is simply what is the unit pricing?
Yoav Amitai: So for obvious reasons, I'm not going to get to specific pricing. I'll talk more broadly. But as I said, we have 3 main revenue streams from the units we're selling. Two of them are mandatory part of the product and another one is kind of a complementary or offering that we're offering to our customers. On the hardware level, just to remind you, I said -- as I said during the presentation, that today, we have their 82% gross margin. Just to give you a ballpark or order of magnitude of the dollar amounts that we're receiving, we're talking about thousands of dollars per unit U.S. dollars per device. Then each one of those devices will have to pay the subscription fee for the software part, which is usually around 10% to 20% of the hardware cost. And again, not getting into specific numbers, just because of competition, because of market dynamics. But on these customers will pay hundreds of dollars per annum for the subscription fee. And that's, like I said, as long as they are using their platform. The third element, which is the data, the airtime, like I said, the cellular networks, the Optus and the Telstra of the world, this is -- there is a big range there because those prices is dependent on the use case and the consumption of data of our customers. So it's very hard to say this is the revenue that is coming -- well, we know it very well, but it's very hard to put it into a model and to say this is the portion of revenue that will come from data because there is a big variance there. But that's basically how the pricing model works. Again, without getting into the specific numbers, but I hope it gives you a good picture of the business model and of the unit economics.
Howard Andrew Digby: We had a few questions about our market focus about foreign governments, although everyone is a foreign government. But also about European and U.S. governments. And also, do we expect further repeat orders from European drone defense? And there's a sort of similar related question about do we expect any announcements before Christmas?
Yoav Amitai: So starting from the first part of your question about additional geographies, let's call it, that we're working. Like I said during the presentation, and that's what we have said for the last 1.5 quarters, let's call it, that our current focus is mainly Europe and the U.S. We think and we see actual deployments of budgets in those regions, and we believe that this is where we have the biggest opportunity in terms of access to the market and also in terms of the value proposition of what we're providing. In both markets, we're currently -- like I said, we're in the final stages of recruitment people to have boots on the ground to accelerate both top line of the pipeline, to bring net new opportunities into our pipeline and also to help with accelerate the conversion of this pipeline into actual revenues. So that's the effort that we're currently doing in the sales and marketing. We are currently -- or the end of the third quarter, it's always the conference season. Since beginning of September until mid-November pretty much, we are literally on a weekly basis on industry conferences and government conferences, doing a lot of progress with those pipeline and with these opportunities and bringing people that will be boots on the ground on those areas will accelerate those processes. And we're doing a lot not only with having people, but also having the infrastructure that will help us kind of localize our production, localize our go-to-market and everything. And that will reduce a lot of the friction that we might have in the sales. Going to the second part of the question about additional contracts and continuity of those programs. The answer is yes. We're definitely expecting to have more of those existing customers coming from them. They are part of the pipeline as well. And the last point about having more updates before Christmas, that also will be, yes, we do expect to have more news coming to the market before Christmas.
Howard Andrew Digby: We had some questions about the analysis from Bell's, the announcement. I mean partly a comment but also a question maybe for Bell's, but please feel free to comment. Bell's recent coverage on ELS is, in my view, a disappointing report. Figures are wrong, and they use a materially different times earnings ratio than they do for DRO and EOS. What was the analyst rationale -- that was the direct question, although you want to comment on that?
Yoav Amitai: Yes, that's probably a good question to ask the analysts directly. Like you know, it's not something that we're affecting. They're taking the numbers. We're just proving the facts and making sure that they are following. There were some misalignment, I will call it, or some places that was currency mistakes, but those were fixed on the update that they released on Monday morning after we put out the quarterly, at least part of them. And about the way they're modeling and the way -- why they're doing those multiples for this company and why for that company, that's a question for Bell's analysts -- Bells and Potter analysts. That will be hard for me to answer those.
Howard Andrew Digby: A related question, given that we're so cash flow positive, why do you feel necessary to raise so much to Bells, not a very sticky raise and post rise support limited?
Yoav Amitai: So I'll talk in general about our cash position and why we build it and what is our plan to do with that. We all need to understand that Elsight, once we're starting to go to the big programs and once we're starting to get above the noise level, we've also been looked more on the bigger programs, and those programs required to show strength of balance sheet and to be able to show that we are here and we're here to stay and we're not fragile. So that's one. In addition to that, I mentioned a couple of initiatives that we're doing over the presentation from expanding our sales and marketing efforts in specific regions and target markets. R&D development that we're doing to come with new products and new capabilities. And also another point that I have not mentioned during the presentation. But today, we're also looking not only on organic growth, but also on inorganic growth opportunities. This market, the defense tech or in general, this unmanned market is super fragmented market, and we're seeing a lot of consolidation happening in this market. And from the very close relationship or very long-term relationship that we have with this industry, we believe that we can find the right companies or the right solutions or the right offering that are in the market and struggling to succeed and leverage our market reach and our market access and the customer base that we have built over the year we will be able to leverage those interesting technologies into better companies basically. That's one. The second point of why we would do those kinds of transactions, and we're not looking about very big transaction. Obviously, we're looking on small companies that will provide us this technology -- technical edge or will provide us with access to market that we currently don't have access to, and we would like to accelerate those processes. So we are both sourcing and looking for companies having a strategy in place of what we're looking for, looking for the best candidates. And obviously, we'll do it only when we will feel that, that's the right company and that's the right time, but it's part of what we do. So that's why we build this position, this cash position. It's true that we are cash flow positive. We have big plans. We're playing in the big -- in the Premier League basically today, and we need to make sure that we have what we need to succeed. Today, I definitely think we're there. And I think we also show it in our numbers during this presentation and the progress work that we're doing. So that's about that.
Howard Andrew Digby: I'm getting some questions again about the product, but just before that, a couple of questions about the corporate side of things. Two questions about listing in other markets. One is -- I'll give you them both because it's a complete answer, I think. Have you considered a dual listing in Europe alongside DRO and EOS? And the other question is, any plans to list on the NASDAQ? I appreciate it's costly, but our valuation would increase threefold based on comparisons. -- which is, I guess, an opinion expressed alongside that question.
Yoav Amitai: Yes. I would say -- I will comment this way. First of all, I would say that we are considering alternatives to be exposed to foreign investors, both in Europe and in the U.S. because of the place or where the defense tech thematic is taking today in global markets in general. So we do look for the right way to have this exposure. being listed in NASDAQ or doing some kind of this approach, not as -- I mean, some of those companies that was mentioned have OTC kind of interfaces and other that are lighter, not in terms of how much it will cost, in terms of management attention. And I think that's the main point. Today, Elsight, and it wasn't clear during the presentation, it's super important to mention it now. Elsight today is standing in front of massive opportunity. And today, for us to do moves that will distract the management focus from execute and deliver on those opportunities will be short-term mistake or long-term mistake, sorry, to get short-term benefits. And I think, again, connecting to the point that I made before, we are -- like I said, we are considering all those alternatives, and we will do it when the time will be right or if the decision will be correct. Right now, we feel that the focus should be on executing and unlock more sales and more growth. And as a result of it, we will get to every place we want to get to. But that's the best comment I can give for that. In parallel to this, like I said, we are considering all the different alternatives to create exposure to these markets.
Howard Andrew Digby: Another question coming to some corporate question -- some technology questions, perhaps here from new investors, it's good to go over this with everybody. What is the problem -- fundamental question. What is the problem that you are solving that others can't solve?
Yoav Amitai: So on the technology level, I touched upon that a little bit when I spoke about the competition. In general, what Elsight approach is, is that there are a lot of great infrastructures in the world, there are a lot of different communication technologies. None of them are ultimate. And what we are providing we are providing kind of a logic abstract layer on top of all those physical layers on top of all those radio levels to be able to communicate in the best redundant, robust way. And we see the actual results in the field, in actual front lines, in actual industry test, in actual DoD test that we're going through. We are seeing how literally a lot of jaws are dropped because of seeing the performance that we are bringing with our solution. And that's, I think, what is special about that. And in terms of the protection or the IP protection, again, I touched it in the presentation, but I think that with all the experience we have accumulated and all the development that we have done, not only on the communication layer, but everything that is around this communication layer, I think it creates a very, very big competitive advantage. In general, I would say that big companies, if someone will ask why company like Lockheed Martin or Anduril or those companies will not get into your market and kick you out. I would -- my comment will be that, first of all, we have this moat around the technology, what I just mentioned. And also, I would say that those companies are usually buying the innovation and not creating the innovation internally. So that will be my comment on that and why we feel confident that we are ahead of the game, like I said.
Howard Andrew Digby: I've got a question about another technology question. How does your product hold up against CUAS solutions? For everybody, that means counter drone -- effectively Counter-Drone solutions.
Yoav Amitai: Yes, counter UAS. UAS stands for Unmanned Aerial System and counter UAS. So there are different type of counter UAS systems. There are the kinetics one or the laser one that just take the whole drone down. There is not much we can do about that. They just burn the old drone or they just literally shoot it down. There is nothing that the communication or any other tech stack technology can do. They just need to be in stealth as much as possible and not being detected by those systems. That's what we can provide with this challenge. But the other type of solution that are more of EW solution, electronic warfare type of solutions, in this case, that's exactly what we're doing. We're showing time and time again how we can overcome it by creating basically 3 dimension of communication, which is both doing frequencies hoping based on radio that are connected to us, but also going between different technologies, and this is how we overcome those systems. And again, I think we are proving it on -- in many cases, today, we have a lot of case studies showing how we overcome a lot of those EW challenges. And I think that's very much a very strong value proposition that we are offering to our partners and customers.
Howard Andrew Digby: Someone has just asked a question, just popped up just to dive deeply into one part of that, and you may want to put some context here is that you mentioned the kinetic and laser type of solution. But isn't it a risk for you guys if the laser counter drone tech proliferates and grows?
Yoav Amitai: If it's what, sorry?
Howard Andrew Digby: Isn't it a risk for you if these laser counter drone tech proliferates and grows?
Yoav Amitai: I don't think it's a risk for Elsight per se and knowing how those systems are being deployed, they are deployed to protect specific locations. And again, they need another system to detect those drones to know that they are coming. I don't think we'll see a day that we will have around every city in the Western world or the Eastern world or any world, we'll see laser all over the place and counter drone measure. It's just -- it's a huge CapEx investment that I don't see any government is doing it and looking at the market and what are the dynamics in the market. So I don't think it's -- let's say that I'm not seeing it as this risk in our line of sight as a company.
Howard Andrew Digby: Corporate question. Given our growth trajectory, congratulations. Are there any plans to further strengthen the Board?
Yoav Amitai: Straight answer is that we currently don't have specific plans around that. But we're constantly thinking what else we can do to strengthen the company in general. That include the Board as well.
Howard Andrew Digby: And a question here, will there be -- it's probably got time for 1 or 2 more questions. Will there be dividends?
Yoav Amitai: I think it's -- I think this question coming too early. But looking forward, and I think Elsight has proven this year, and I think we'll be able to proven in the years to come how profitable is this business. I'm not talking about gross margin. I'm talking about actual net earnings. And as a result of it, obviously, when the right time will come, we'll do that as well. I think that today, again, going back to the point that I said before, for us needing to show the strength of our balance sheet and take over the opportunity that we have in front of us, I think this is where we should focus. When the right time will come, we will definite it will definitely be part of our discussion. But that's -- Howard, maybe you want to add to that question as one of the boards.
Howard Andrew Digby: Yes. Again, I would just endorse what Yoav says and something that we can communicate and update on as the capital needs of the business required. But clearly, it says that we see the opportunity to invest in our business as the biggest opportunity at the moment. Now I've got the last question here. [Operator Instructions]. But the last question here, does what Yoav is saying mean that Elsight system makes drones using their platform more resistant to EW counter drone devices. So just drilling in further, like, for example, Drone Shield, I think they're specifically asking about these kind of solutions. If you haven't answered it already, you may want to add a few more comments on that.
Yoav Amitai: Yes. Without commenting on specific company's systems, the short answer is yes. The long answer is, again, I stretch different kind of counter UAS systems where Elsight solutions will be able to help in other places that Elsight solution or it's not relevant. They just take down the entire system. So there's not much we can do on software or hardware layers. But I mean, like I said, that's a big part of why we're winning contract today because we can show our resiliency for those -- some of those counter drones EW, Counter-Drone solutions, yes.
Howard Andrew Digby: Okay. So thank you, everybody, for your questions. Thank you, Yoav. Thank you for joining us today and your continued interest in Elsight. Thank you to people who are new investors and are looking at following our story. We appreciate your time and thoughtful engagement. As you've seen, we're making strong progress in building a leading position in the rapidly growing uncrewed connectivity market. And we're excited about the opportunities ahead. We remain focused on executing our strategy, expanding our customer base and delivering sustainable profitable growth. In the last quarter, you've seen us demonstrate and consolidate a business that's highly cash accretive. It's capital light, but with the opportunity to deploy resources and capital for continued accelerating and even, as you heard Yoav said, step change growth in the future. If you -- as I say, if you have additional questions, please follow up through our Investor Relations contact. So on behalf of the Board and the entire Elsight team, thank you again for your support, and we look forward to updating you on our continued progress in the months ahead. Have a great evening.
Yoav Amitai: Thank you, everyone.